Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Coherus Biosciences 2020 Second Quarter Earnings Conference Call. My name is Nora, and I’ll be your conference operator for the call today. As a reminder, this conference call is being recorded. I would now like to turn the call over to David Arrington, Coherus Investor Relations and Corporate Affairs. Please go ahead.
David Arrington: Thank you, Nora, and good afternoon, everyone. After close of market today, we issued a press release on our second quarter financial results. This release can be found on the Coherus Biosciences website. Joining me for today’s call will be Denny Lanfear, Coherus’ CEO; Dr. Jean Viret, Chief Financial Officer; Thomas Fitzpatrick, Chief Legal Officer; and Chris Thompson, Executive Vice President, Sales. Before we begin our formal remarks, I would like to remind you that we will be making forward-looking statements, including risks and uncertainties related to the impact of COVID-19 pandemic on Coherus’ business and results of operations. In addition, other forward-looking statements, such as our plans and expectations regarding our ongoing commercialization of UDENYCA, product candidate pipeline, product development plans, financial projections and the use of capital, all of which involve certain assumptions, risks and uncertainties that are beyond our control and could use actual results to differ from these statements. A description of these risks can be found in the earnings press release and our latest SEC filings. Please also note that the non-GAAP financial measures included in our press release should be used to help you understand Coherus’ business performance and should not be a substitute for your review of our GAAP financial measures. The GAAP to non-GAAP reconciliations are also provided in the earnings press release. I will now turn the call over to Denny.
Denny Lanfear: Thank you, David. Good afternoon, everyone. On today’s call, we’ll first review for you our results for the second quarter of 2020. And in doing so, provide you with some context with respect to COVID considerations, and how our strategies, competencies and capabilities allowed us to successfully navigate the market uncertainty. We’ll then update for you our pipeline development as we advance our efforts to become a multiproduct growth company, addressing $30 billion in market opportunity over our five-year planning horizon. We’ll recap for you our strategy to leverage our demonstrated commercial strengths into the ophthalmology and immunology therapeutic markets. Lastly, we will provide some color on how we see the remainder of 2020 developing with respect to our oncology and pegfilgrastim markets and provide financial insights on our cash use over the short-term planning period. With us today, we have Chris Thompson, our Executive VP of Sales, who will provide our commercial update and color; and Jean Viret, our CFO, who will provide our financial updates. Let me start with our top line Q2 2020 financial results. We are pleased to report that net product revenue for the quarter was $136 million, exceeding our expectations. Earnings were $0.70 per share, and non-GAAP earnings were $0.81 per share, both on a diluted basis. We increased our cash, cash equivalents and investments to $456 million. For the quarter, our commercial strategy and strong execution, successfully mitigated COVID’s potential impact on unit sales. And after a brief pause at the beginning of the crisis in March and April, market share growth has now resumed. We believe the strong performance this quarter further validates the commercial capability, which enabled us to deliver such strong launch results last year and gives us high confidence that we will do so very well commercially with our ophthalmology and immunology product candidates. I want to thank the entire Coherus team for their very fruitful efforts in a tough market environment. Now with respect to our second quarter results, I would remind you that on our last call, we made three predictive statements as we actively managed risk with respect to COVID. First, we observed that there was a COVID-driven delay for patient referrals for oncology treatment which could persist through the second quarter and beyond. We also reported and observed an uptick in the use of Neulasta Onpro in certain COVID hotspot regions, and we projected that it would be a transient, based on feedback from customers in those regions. Lastly, we shared that we believed UDENYCA demand and would continue to grow through 2020 as cancer patients and providers continued to benefit from the value provided by UDENYCA. So let me review the data and how these dynamics played out in the pegfilgrastim market for Q2. The oncology market in general and the pegfilgrastim market in particular, proved to be very resilient as providers and hospitals found ways to identify new patients and treat patients already diagnosed. Recent IQVIA data has shown a strong rebound with new patients. New patient diagnoses increased to 96% of baseline by the end of June, back up from a mid-COVID nator [ph] of about 70%. Pegfilgrastim demand is growing, and we believe the new NCCN ASCO guidelines have had a positive, supportive impact from existing patients, as we anticipated on our last call. The pegfilgrastim market has remained strong, with quarter-over-quarter unit growth in the low single digits, consistent with previous quarters. Additionally, market data suggests Neulasta’s overall shares declining again as hospitals have adapted to the COVID environment. We have seen a modest ASP decline in the market, reflecting our price discipline. Let me address the reasons we believe the pegfilgrastim market has proven to be resilient in the second quarter, and specifically the two dynamics at play here. First, cancers typically grow very fast, and treatment delay is dangerous to patients. Therefore, cancer patients requiring chemotherapy are now seeking treatment. Referrals are stabilizing to normal levels across most regions. Second, providers are adjusting to the needs of oncology patients through new measures and service delivery paradigms that ensure continuity of their operations and patient safety. The dynamic is relatively straightforward. Patients depend on cancer care for their lives and health care providers are committed to providing this essential care. The result for the second quarter in the face of COVID was less moderation in demand and pegfilgrastim usage than some had anticipated, and a clear demonstration of the robustness of the market, COVID notwithstanding. Now let me turn the call over to Chris Thompson, who will make a few comments about our commercial performance. Chris?
Chris Thompson: Thank you. Thank you, Denny, and welcome, everyone. In the second quarter, we saw sales growth across all market segments. Recall that a core strategy for UDENYCA is to pursue growth in all segments equally, balancing our efforts across them. For Q2, there was a favorable shift in unit demand to the clinic business, whereas last quarter in Q1, we reported that we sold more units on a relative basis to the 340B hospital segment. Additionally, we have sufficient supply to meet any current and future demand levels across all segments. Because UDENYCA is a made-in-America product, we are able to ensure continuity of supply as we’re not reliant on a global supply chain. We continue to be thoughtful in our approaches to pricing and contracting, our dual objectives being relative ASP stability and profitability optimization. The reason our commercial organization has demonstrated such aptitude and resilience in the face of COVID is our deep proficiency in strategic planning and execution. As Denny has said before, the key to being successful in the biosimilar business is to be a biosimilar company. As the only U.S. pure-play biosimilar company, we believe that we have a unique perspective on how to optimize a biosimilar business. First, it’s by leveraging a deep understanding of the market by offering a customer-centric value proposition that addresses their expectations and needs. Second is through serial [ph] organizational execution delivering this value to the market on a segment-by-segment basis. And third is by providing branded benefits with [technical difficulty] with biosimilar value with quality supply and rational contracting. Knowing the needs of our customers then responding with a meaningful approach, is a core tenet of our branding choice without compromise. Our services are embodied in a unique program called Coherus Complete. Let me offer a small example of one of them, our Co-Pay assistance program. Our approach to Co-Pay assistance provides immediate help to patients with out-of-pocket costs. This financial assistance has become a much appreciated component of our services for patients and providers who need it most during these challenging times. It is because of services like this as part of a comprehensive branded approach to the biosimilars that we have had the best pharmaceutical launch in 2019 based on IQVIA sales data. The success of the UDENYCA launch was recently recognized by the Healthcare Distribution Alliance who awarded Coherus The Diana Award for the category of Best New Product Introduction in the Biotechnology Pharmaceutical Products sector in 2019. In other recognition, Premier, a long time GPO leader in the hospital segment, honored Coherus as a winner of the annual Horizon Award. This award recognizes suppliers that consistently provide support at the highest levels of partnership, customer service, value creation, clinical excellence and commitment to lower costs. We are all very proud of these achievements and thank the HDA and Premier for these awards. We are confident that we will be well prepared to replicate the success with future launches of our pipeline products in ophthalmology and immunology. Back to you, Denny.
Denny Lanfear: Thank you, Chris. Now let me turn to our long-term growth and discuss the company’s internally developed pipeline and partnered products. I’m pleased to report that we have made significant progress across our product pipeline and in support of our strategy to have six FDA-approved biosimilars on the market by the end of 2025. With respect to our ophthalmology franchise, I’ll remind you that we have two biosimilars in the pipeline, one for Lucentis, in-licensed from Bioeq in the fourth quarter of 2019; and one for Eylea, our fully owned and internally developed CHS-2020 product candidate. Regarding the Lucentis biosimilar, our partner, Bioeq, is proceeding with the FDA-required activities to resubmit the BLA in the fourth quarter of this year. We are pleased with the inflammation safety of this new biosimilar Lucentis. In our trial, both the control arm and biosimilar arm were comparable to each other. And with very low inflammation rates, performed meaningfully better than the original Phase III Lucentis trial. With respect to CHS-2020, our clinical manufacturing and other development efforts are on schedule to enable a Phase III clinical start in 2021. We expect this study to support both U.S. and European approval and further expect to initiate activities to identify a potential European partner in the second half of this year. With respect to the commercial opportunity for these products, I would note that the ophthalmology market represents an additional $6 billion in market opportunity for the company, which can be efficiently accessed with an incremental commercial investment. Furthermore, ophthalmology shares similar market dynamics to oncology where we have demonstrated success. Just like the U.S. biologics oncology market, the U.S. biologics ophthalmology market is a buy-and-bill Medicare Part B segment, but with a higher Medicare patient population. This market also comprises a highly concentrated prescriber base, consisting of about 450 accounts, representing about 80% of business volume. Thus, we believe that our successful launch of UDENYCA and our strong expertise in areas of market access and contracting positions us favorably for commercial success we’re up – with our ophthalmology biosimilars. We expect Coherus to have a significant role then in biosimilar market formation. Now let me make a few comments about CHS-1420, our internally developed biosimilar candidate to HUMIRA that addresses an $18 billion market. We expect this to be a competitive environment, which is a positive for us as we have a demonstrated proficiency in executing in highly competitive environments. There is substantial market share to be taken from the innovator, and we expect payers to play a key role in product selection decisions. And they will be highly receptive to competitive overtures from biosimilars. We are currently honing our commercial strategies to address value drivers for the various segments and value chain constituents. We expect to file the BLA in the fourth quarter of this year, and we are confident in our ability to outperform after our projected July 2023 product launch. Lastly, with respect to oncology, our Avastin biosimilar in-licensed from Innovent Biologics. We continue productive engagement with Innovent into advance towards a BLA filing. Activities include FDA-required interaction supporting the initiation of a three-way PK study using the Innovent’s Avastin from the United States and China compared to Innovent’s Avastin biosimilar. Now I’ll let the company’s Chief Financial Officer, Jean Viret, summarize our second quarter financials. Jean?
Jean Viret: Thank you, Denny, and welcome, everybody. I will now review the main financial results for the second quarter of 2020. Net product revenue was $136 million with non-GAAP net income of $68 million and diluted non-GAAP earnings per share of $0.81. Net product revenue included a $13 million favorable revision of our payer rebate estimate recorded in the second quarter of 2020. Net revenue for second quarter of 2019 was $83 million with a non-GAAP net income of $32 million and diluted non-GAAP earnings per share of $0.43. Research and development expenses for the second quarter of 2020 were $26 million compared to $19 million for the same period in 2019. Selling, general and administrative expenses for the second quarter of 2020 were $34 million compared to $36 million for the same period in 2019 when we were in the second quarter of our UDENYCA launch. We anticipate that R&D and SG&A expenses combined together will range between $285 million and $310 million for the full year fiscal year 2020, excluding upfront or milestone payments from any potential new collaborations. For the second half of the year, we are projecting relative SG&A expense stability while R&D expense will increase as we file and prosecute the CHS-1420 HUMIRA biosimilar BLA, scale up the manufacturing to meet the launch demand and initiate the Phase III programs for CHS-2020, our Eylea biosimilar. We started our second quarter with $193 million in cash, cash equivalents and investments and ended the quarter with $456 million. The $263 million increase is primarily due to generating $60 million in net cash from operating activities and receiving $223 million in net proceeds from issuing convertible debt notes, offset by purchasing $18 million in cap calls options related to these convertible notes. Now back to you, Denny.
Denny Lanfear: Thank you, Jean. Let me make a few points. The pegfilgrastim market has proven to be robust. And looking ahead to Q3 and year-end, while we expect that there will be local effects from COVID resurgences, we believe the overall market will remain resilient due to hospitals and clinics adapting to the treatment environment. Local and time-limited disruptions aside, the overall market is growing in terms of units, bolstered by the new NCCN ASCO guidance. The innovator still has 70% share. And despite competitive activity increasing, we believe there is room to grow market share in a price-responsible way. With both our 2019 launch and our Q2 2020 performance, our commercial team has demonstrated themselves to be highly capable of delivering strong results in challenging environments. Thus, we expect continued success in the second half of the year, although the market conditions with COVID remain fluid. Thanks to UDENYCA’s success, we are in a strong financial position to support our pipeline growth trajectory with additional biosimilar launches expected in oncology, ophthalmology and immunology over the next few years. We believe these therapeutic areas will leverage Coherus’ strengths, including our award-winning commercial infrastructure, increasing access for patients, savings to the health care system, while continuing to generate growth and shareholder value over the long-term. Operator, we’ll now open the line for questions.
Operator: [Operator Instructions] First question is from the line of Mike Ulz of Baird. Your line is open.
Mike Ulz: Hey, guys. Thanks for taking the question and congrats on the strong quarter. Just a question related to UDENYCA dynamics. I think, Denny, you mentioned there was a sort of relative shift to the clinics this quarter compared to last quarter where you saw sort of a relative shift to 340B segment. Just curious if you can talk about what specifically is driving that dynamic. Or is it just some seasonality? And maybe how we think about those dynamics going forward?
Denny Lanfear: Thanks for the question, Mike. I think that the – each segment has a tendency to ebb and flow quarter-to-quarter, as we described earlier. We also described that we tend to push on segments that are lagging behind a bit. For Q1, we had a little more in the 340B segment. The clinics came back slightly in Q2. But overall, this is just natural course of business, so I wouldn’t worry about it too much. Going forward, we expect things to remain stable throughout the rest of the year.
Mike Ulz: Got it. That’s helpful. And then maybe just some other dynamics you were seeing during the second quarter with respect to competition. Maybe have you seen any changes from Sandoz more recently? And then you’ve also got Pfizer in the mix now. So any thoughts on what you’re seeing from Pfizer? Or how to think about competition in the back half of the year?
Denny Lanfear: So thanks, Mike, for that question. As it relates specifically to Pfizer, they really haven’t officially launched, so to speak. So we haven’t seen a lot of activity by them in the marketplace. But we fully expect that they’ll be out there. And as it relates to Sandoz, we’ve seen very little uptake with them. But they do have a code. So we’re ready for the competition. Pfizer, their codes are yet to come. So it will probably be a little bit of time before we start to see activity from them.
Mike Ulz: Great. Thank you. And congrats again on the quarter.
Denny Lanfear: Thanks.
Jean Viret: Thank you, Mike.
Operator: Your next question comes from the line of Ken Cacciatore of Cowan & Company. Your line is open.
Ken Cacciatore: Hey guys, congrats on all the progress and success. A question, Denny, on the prepared remarks, I might have misheard it. But I think you said that for your biosimilar Lucentis, you’re seeing inflammation rates that are in line with the Phase III – original Phase III Lucentis program. It’s my understanding that, over the years, they’ve refined the formulation and they have the inflammation rates now under 1% in all the clinical studies. So can you give us specifically your inflammation rates that you’re experiencing?
Denny Lanfear: Let me – yes, I think that you may have misheard that, Ken. What we pointed out in our prepared remarks is that the inflammation rates with the Phase III of our Lucentis were less than the inflammation rates originally seen with Lucentis during its clinical trials.
Ken Cacciatore: So can you give us a sense of kind of what you’re seeing now that we know that Lucentis inflammation rates, I think, are often sub 1%. Can you give us a sense of that?
Denny Lanfear: Yes, they are in that range. I don’t have those exact rates. But yes, they are in the range of 1% or less for the – and I would also point out that – yes, let me just point out that the at the rates between the Lucentis biosimilar and the Lucentis were very much the same.
Ken Cacciatore: Okay. That’s great. That’s wonderful. And then in terms of, I know with the pandemic, it’s – I think it’s probably hard for you to get over to Europe. But can you just talk about what you all are doing to help them – Bioeq along? I know the experience that you all have and kind of working through sometimes difficult situations. So just trying to understand what level of engagement you have as they try to kind of solve and move forward?
Denny Lanfear: We have significant engagement with respect to Bioeq and its contract manufacturing organization. As you point out, our team has substantial experience in manufacturing biosimilars. In particular, we have experienced in manufacturing Lucentis biosimilars. So there’s been robust engagement on a weekly basis. There’s strategic meetings with higher levels of management, slightly less frequently. I’m on several of those meetings from time to time, myself. We monitor that very closely. We are pleased with the progress that they’re making. That work is not yet done. We’ll be able to update you on the next call. But there has been, I think, full engagement from Coherus with respect to leveraging our manufacturing expertise to move that product to the BLA filing in Q4 this year.
Ken Cacciatore: Great. Congrats guys. Keep it up.
Denny Lanfear: Thanks, Ken.
Operator: Your next question comes from the line of Mohit Bansal of Citigroup. Your line is open.
Mohit Bansal: Great. Thanks for taking my question and congrats on all the progress as well. Maybe – so Denny, you mentioned in the prepared remarks that the quarter-over-quarter for pegfilgrastim, there was a growth of low single digits. Could you please comment on the growth of UDENYCA? If there was a volume growth in line with the market there? And also, like we saw that for Neulasta Onpro, there was a market share gain. So was it coming at the cost of biosimilars? Or just specifically Neulasta? Hello?
Denny Lanfear: Let me take the last part first, and then I’ll let Chris Thompson, our Executive VP of Sales, take your – first part of your question. I think what’s important in terms of the takeaway here is that we indicated on the Q1 call that Onpro uptick would be transitory and was subject to the COVID first wave and would wash through the market. That’s what we saw. As COVID went through and people became more adept at dealing with COVID, we saw Onpro share recede, I think it’s down from 60% down to around 56%, if I’m correct. There is a growth of the market year-over-year of about 3% in terms of pegfilgrastim units. And I think that we saw a growth quarter-over-quarter of about 2.4% between Q1 and Q2. And then did you have a further – does that help, Mohit?
Mohit Bansal: Was it the number for UDENYCA or pegfilgrastim?
Denny Lanfear: That’s the pegfilgrastim market overall.
Mohit Bansal: Okay. So can you comment on the UDENYCA per se? I mean year-over-year or quarter-over-quarter, if you are still gaining share? Or for now, it is just pandemic which is probably impacting it.
Denny Lanfear: Well, keep in mind that – sure, happy to do so. Keep in mind that we ended the year about 20% market share as we guided. We went up to about 22% to 23% in the February March timeframe pre-COVID. We had a very, very strong first part of the year. And then as we went into COVID, we dipped down, went down, I think, even south of 20%, maybe I saw 19% during that period of time. We’ve now successfully reversed that. Our exit share of Q2 was 22%, which I think is quite good. We’re very happy with that performance. And our observation here, of course, the market has just become more adept in dealing with COVID. We – I would say we remain confident in our ability to continue to grow share. However, there’s some short-term uncertainty in the face of competition and some other things including COVID for the second half. So it makes it difficult for us to project actual end of year share for the product. Lastly though, I think the key – other key takeaway for you, Mohit, is there’s still 70% innovator’s share Neulasta and two dosage forms to go after. So, I think that’s an attractive market for us.
Mohit Bansal: Very helpful. Thank you, Denny.
Denny Lanfear: Thanks, Mohit.
Operator: Next question comes from the line of Jason Gerberry of Bank of America. Your line is open.
Jason Gerberry: Hey, good evening guys. Thanks for taking my question. I really wanted to just touch base if you can on how you’re thinking about deploying capital here for the next wave of biosimilars, which seems like it’s pretty heavily skewed to the oncology side of the arena. And I know in the past, you guys have said you feel like you’re pretty well-stocked to go after the ocular or the ophthalmology opportunity. But thinking kind of longer term, your thoughts regarding internal R&D investment versus external efforts to go after the next wave of biosimilars, which would probably be the 2025 or 2030 market entry type of opportunities?
Denny Lanfear: Great question. Let me take that therapeutic area by therapeutic area. First of all, with respect to immunology and inflammation and HUMIRA, we don’t believe that it’s required to have an additional product added there. So, we intend to launch HUMIRA and have that to be our sole inflammation product at this time. Not to say that we wouldn’t focus on an additional product, if it came by. But we don’t have plans to deploy capital as you as you questioned, in that particular direction. With respect to ophthalmology, having the two primary VEGFs, I think is what you want to do if I didn’t have them both. And only had one, and I would probably be telling you that I would be obtaining the other. But I don’t see further additions to the ophthalmology portfolio in terms of, for example, innovative products or other biosimilars. With respect to oncology, we feel that this area is very well positioned for us to deliver our – on our mission and our value proposition. We focus on delivering health care savings to the system and increasing access to patients. And if you look across oncology and immuno-oncology, I think that there is ample opportunities to do that. So you’ll probably see us continue to focus in oncology with respect to our new product efforts and capital deployment. That being said, keep in mind that we are spending second half of this year, next year on certain exercises for 1420, the HUMIRA biosimilar, with respect to manufacturing. And we’re also focusing on the Phase III for Eylea, CHS-2020, which will certainly consume capital between now and 2025. Does that help?
Jason Gerberry: Yes, that’s great. And if I could just clarify. So you mentioned immuno-oncology, there seems like there’s a ton of development activity around follow-on PD-1 type of molecules developed in China, but yet there’s this tension going on with made-in-the U.S.A. product. Who knows what will come about or if it’s just a more near-term, politicized type of dynamic? But as you think about shopping for external assets in the IO space, is that crossing your radar in terms of having something that’s developed locally to be able to supply the U.S. market, which is your focus?
Denny Lanfear: Well, I think that you make exactly the correct point. I’ll spare you a dissertation on available assets across various global geographies and therapeutic areas. But I will say that we are focused with U.S. products. We strongly believe in U.S. manufacturing and made in America. That’s our positioning, and we believe that very strongly. So any products that we were to in-license or develop, we would absolutely insist on U.S. manufacturing, such as you saw us do with our Innovent Avastin. We are able to manufacture that post tech transfer in the United States.
Jason Gerberry: Great. Thank you so much.
Operator: Next question from the line of Chris Schott of JPMorgan. Your line is open.
Chris Schott: Great. Thank you so much. Just two quick ones here. First, on UDENYCA and expectations on price as we move into the second half of the year. Do you expect price to remain relatively stable as we think about market dynamics? I’m just kind of thinking about Sandoz now with their code, Mylan kind of relaunching. Should we think about a little bit of a step down in price? Or do you think we can kind of maintain where we are? My second one was just a little bit more elaboration as we think about Avastin and the commercial kind of approach for a product like that. I guess when you’re not at market formation, are you guys got a different approach to going to market? Or do you think a lot of the same principles that work so well with UDENYCA can be kind of reapplied with Avastin, even if you’re not kind of the first ones to market there?
Denny Lanfear: Great. Good questions, Chris. Let me take the first question first. With respect to price, it’s difficult for us to predict the pricing behavior of competitors who have not yet acted. So we haven’t seen Pfizer come in and take action or take share. They don’t have a code or really set any price. We’ve seen Sandoz in the market. They do have a code, but we haven’t seen any sort of market share taken by Sandoz. So, we’re a bit uncertain of their pricing strategies and so on. Overall, though, I think it’s fair to say that as more competitors come into the market, there will be more of an emphasis on very – on price, certainly. However, I would also point out, though, that it is not simply a matter of price in these markets, right? We have the highest biosimilar price, yet we have the largest biosimilar market share. It’s important to deliver value to these markets. They are not primarily an only price-driven, right? And this leads then to your second question with respect to Avastin. We expect to deliver substantial value to the Avastin market when we launch. We expect to do well there. I think as a biosimilar company, we are uniquely focused on delivering value that market participants expect, and we’ve successfully done that. We’ve done that with our launch, we’ve done that in Q2 in the face of COVID, and we’re going to do that with our future products also. So, I would just disabuse the notion that somehow price is the only thing that matters. It’s certainly important, it’s necessary, it’s required. But our track record speaks to our ability to understand the needs of the market, the needs of our customer base and deliver holistic value. And that is why we have been successful.
Chris Schott: Thank you.
Operator: Your next question comes from the line of Balaji Prasad of Barclays. Your line is open.
Unidentified Analyst: Yes, hi. This is Stephen on for Balaji. Thanks for taking our questions. I was wondering if you could – just to follow up on your prepared remarks, you commented on modest ASP declines in the market. Just wondering if you could quantify that, and then I have a follow-up question.
Denny Lanfear: Well, we have seen about, I think – let me see, we came out at a WACC price when we launched last year of $41.75 in January of 2019. And by Q3 of 2020, we were down to $34.06, I think. So that’s a published ASP decline of about 18%. ASP is going to decline quarter-to-quarter. As we’ve discussed before, our objective and expectation in the long run is to preserve ASP and preserve value. And we – while we won’t get into the nitty-gritty of pricing and contacting strategies, overall, we’re satisfied with how we’re doing at ASP, and we think we’re doing quite well.
Unidentified Analyst: Okay. Great. And then wondering if you could also provide any update on your development of your own on-body device that would compete with Neulasta Onpro.
Denny Lanfear: Sure. Well, that’s the question that’s always asked and never answered, unfortunately. Our long-standing policy is not to provide details on our on-body device program, primarily due to competitive reasons, which, of course, you can understand. But I can confirm that we continue to make good progress there. However, I would also point out that UDENYCA prefilled syringe offers superior value, both in terms of both originator dosing formats. And we think that there’s additional market share to be captured from both those formats in the future.
Operator: All right. Your next question comes from the line of Greg Gilbert of Truist Securities. Your line is open.
Greg Gilbert: Thank you. Denny, let me ask the PD-1 question in a different way. Most folks assume 2028 is the year where we see potential competition tied to the IP for the market leaders. Do you think there’s a way to consider a strategy that is different from that timeline? Perhaps not a straightforward biosimilar strategy, but made in the U.S.? And then secondly, how are you feeling about your chances of having another meaningful oncology launch in the next couple of years? I guess that’s more of a BD pipeline question.
Denny Lanfear: Great questions. Let me take the PD-1 question first. So it’s certainly the case that the PD-1 segment is large. It’s growing. I think it’s going to be something in the order of $25 billion in the U.S. in 2025 going forward. So if you look at just that segment and you look at delivering potential value and access to patients, I think that it fits inside that box. As you point out though, the biosimilar PD-1s arrived somewhat later this decade, late 2028-ish, 2029-ish. So, I think that you have to be fairly sophisticated and nuanced if you were to develop a PD-1 strategy. With respect to other products, I think that there is a number of products that could be either developed or approved or otherwise commercialized over the planning period between now and, say, 2025-ish. But it’s probably best for me not to speculate for you which products those are and which ones would be more attractive than others. But I think, yes, there are products that we could bring forward for a significant launch sometime in that timeframe.
Greg Gilbert: Great. And let me sneak one in for Jean. If I could, or for you, Denny. Do your comments about growing share for the remainder of the year for UDENYCA in a price-responsible way, meaning that you expect UDENYCA sales to go higher in the coming quarters? 
Denny Lanfear: Well, our focus is on the things that we can control, right? We can target market share, pursue share and grow share. We’ve done that. To a fair degree, pricing is something that your competitors have a bit to say about. So that has to be considered. So overall, price and share will give you sales. We’re reticent to project sales not knowing the behavior of the competitors with respect to pricing. But as we indicated, we feel that we can continue to come out of Q2 and perform as we have. I think we’re doing very well in the face of COVID and existing competition and continue some share growth. But how that – how the translates to revenues for 2020 is another issue. I would like to be able to give you more color and a bigger commitment with respect to share growth across 2020. But given COVID, that’s a little tough to do. Happy to revisit that, though, on the next call.
Greg Gilbert: Yes. Thank you for your time.
Denny Lanfear: Sure.
Operator: Your next question comes from the line of Douglas Tsao of H.C. Wainwright. Your line is open.
Douglas Tsao: Hi, good afternoon. Thanks for taking my questions. I mean Denny, I guess sort of staying to the topic of the pipeline. If we look at what you have, you should be pretty busy from a commercial standpoint between now and 2025 when you plan to launch Eylea. So do you see a need to add products between now and then? Or do you think, given your sort of growth aspirations, that you’re in pretty good shape, and so you have the ability to wait a little bit longer?
Denny Lanfear: Thanks for your question, Doug. That’s a great question. So let me first talk about ophthalmology. That’s a space that we have, I think, fairly high expectations for. Then it’s a $6 billion market opportunity all-in, and we have proficiency in Medicare Part B buy-and-bill, as you know. I think there’s a marginal increase in internal resources to address that. Our footprint is projected to be 20 to 25 in terms of sales team members out on the ground for that particular product. So, I think it’s one in which we have substantial leverage of our commercial capabilities. With respect to 1420 on that end of the business, that’s a Medicare Part D problem. We probably would have to focus a little more on the payer side of the business and what we have built out. That is to say, more emphasis internally on sort of building out the – our payer – proficiencies. But that means that our oncology franchise, really, can take – has additional bandwidth to take some additional products, right? These are highly capable people, highly motivated. And every time I get in front of them to speak, they always ask me, “Where’s the next product in oncology?” So they’re raring to go. And I think there’s considerable bandwidth there on the oncology side, with our oncology account managers and our regional directors and I have various team members who could very easily take another product and move it forward.
Douglas Tsao: And Denny, I mean, obviously, you’ve sort of referenced and expressed some openness to pursuing an innovative product potentially in addition to biosimilars. Given some of the potential IP challenges, et cetera, I mean, would a 505(b)(2) strategy, similar to what Keva pursued with [indiscernible]? I mean, would that be something you’d be interested in considering in the oncology space?
Denny Lanfear: Well, I think that it’s a fair point, Doug. I would not rule out a 505(b)(2). From time to time, folks have come by and knocked on the door and showed us one of those two things. Nothing there so far has passed muster for us in terms of things that we would take in-house and commercialize. But sure, we would be open minded.
Douglas Tsao: Okay. Great. Thank you so much.
Denny Lanfear: Thanks, Doug.
Operator: The next question comes from the line of Salim Syed of Mizuho. Your line is open.
Salim Syed: Great. Thanks so much for taking the questions guys. And congrats on the progress Denny and team.
Denny Lanfear: Thank you, Salim.
Salim Syed: Sure guys. Just a couple for me. One high-level one and then one quick one. So Denny, as you kind of gave your high-level view of what you’re envisioning for the company of being a multi-biosimilar company with $30 billion of revenue, that’s the branded revenue market. Could you maybe just speak to how you’re thinking about long-term margins? I think, consensus has you sub 50%. And these are pretty well-defined products from an R&D standpoint. I presume, I think you guys have said $150 million to $200 million to develop a product and then SG&A – I presume you’d be able to get some synergies there. So it’s not long-term guidance I’m asking for, but how do you generally think about long-term margins for pure-play biosimilars business?
Denny Lanfear: Well, thank you for the question, Salim. The way – I think margins are very attractive for the business. With respect to UDENYCA, I think currently, our margins are 92% or 93%. With respect to ophthalmology, you have products there that are given in very, very small doses relatively infrequently, either once a month or twice a month. That means the COGS is very low. As I indicated a few minutes ago, the boots on the ground for ophthalmology is marginal and incremental, maybe 25 folks with significant leveraging internally. So I think that the UDENYCA business has proven to be very attractive. The ophthalmology business is extremely attractive. With respect to inflammation and 1420, we expect to be able to deliver substantial volumes to that market to be extraordinarily competitive in terms of cost. I think that’s very attractive also in terms of margins and COGS. I think that all of these markets in the U.S. with biosimilars are proving to be very attractive with respect to margins. I think it’s a good business.
Salim Syed: So would you go to the extent and say that consensus is too low or kind of around what you’re thinking? Or...
Denny Lanfear: Salim, do you mean consensus with respect to future sales of products?
Salim Syed: To EBIT margin – EBIT – operating margins. I think they have you sub 50%. And just trying to think about long-term here, if that’s an accurate way of – is that representative of how you guys are thinking about the business?
Denny Lanfear: I think, generally speaking, that we’re a bit more optimistic about the EBIT margins in the future. If you’d like to revisit modeling and have us interact a little bit more on that side – JV, do you have any comments on margins?
Jean Viret: Yes. We can’t comment on consensus, but certainly, we can, after this call, discuss the general cost developing a biosimilar. I think it’s still developing so we’ll have to see how biosimilars settle. I mean which is really the early years of a biosimilar being profitable.
Denny Lanfear: Yes. Overall, I think the market may be underestimating how successful we feel we would be with respect to both Lucentis and Eylea. We’re fairly optimistic there. And certainly underestimates how effective we’ll be with 1420, our HUMIRA biosimilar. I think that we have outperformed market expectations during our launch, we achieved 20% the first year. And we outperformed market expectations with respect to Q2 in the face of COVID. So, I think that gives us credibility to say that we believe that in these future markets we’ll be very successful, Salim.
Salim Syed: Okay. Got it. And just one quick one for me. JV, I don’t think it was mentioned in the call. Could you maybe just give us the inventory movements in the quarter for – in the channel? The channel inventory for UDENYCA?
Jean Viret: Yes, sure, Salim. So inventory’s in the normal range, and it’s relatively unchanged since last quarter. And it’s not a factor.
Denny Lanfear: Yes, it’s pretty much a nonissue.
Salim Syed: Okay. Great. Thanks so much guys.
Denny Lanfear: Thank, Salim.
Jean Viret: Thank you.
Operator: This concludes the Q&A portion of the call. I will now turn the call back to Denny for final remarks.
Denny Lanfear: Thank you, and thank you all for joining us today. So for Q2 2020, we reported to you not just excellent results with UDENYCA, but consistent progress against plan whether ophthalmology and immunology pipeline. Over the next five years, we anticipate our addressable market will grow $4 billion to about $10 billion in 2022, and again, a further $30 billion by 2023. We expect to capture a significant portion of this opportunity just as we are doing now with UDENYCA. Our strong UDENYCA results reflect our commercial competency in the face of market challenges. We are confident in our ability to replicate the success with our subsequent commercial launches. We look forward to seeing you all again on our next call in November. Thank you.
Operator: This concludes today’s call. You may now all disconnect.